Operator: Good day, and thank you for standing by. Welcome to the Dime Community Bancshares First Quarter Earnings Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Stuart Lubow, President and CEO. Please go ahead.
Stuart Lubow: Thank you, Marvin. And thank you all for joining us this morning, for our first quarter earnings call. With me today is Avi Reddy, our CFO. Dime has begun 2024, on solid footing and on a positive growth trajectory. In the first quarter, we grew core deposits by 19% on an annual basis, paid down our Federal Home Loan Bank borrowings by 41%, maintaining solid asset quality, increase our risk-based capital ratios, prudently managed expenses. And importantly saw our net interest margin expand in the month of March versus year-end and January levels. We have been active on the hiring front. And since the middle of March, we've added over 30 extremely talented revenue-producing bankers. I would like to provide some color on why these bankers joined Dime. As you know, the first group of bankers we hired in 2023, have been very strong advocates of Dime and have gotten the word out that Dime's a premier platform for talented bankers. They have seen firsthand how nimble we are as a bank, how our staff is aligned to make the customer experience outstanding, and how flat our organizational structure is. The bankers hired in 2023, have grown their deposit portfolios to approximately $600 million. Suffice to say, we have proved that our business model provides conducive environment, for talented bankers to succeed. Secondly, our technology and treasury management systems are state-of-the-art and superior to all other local banks. We know this, because all the groups that we recruited in 2024 - did detailed demos of our systems and to a person that were all significantly impressed, and our feedback from new customers has been outstanding. Finally, Dime's brand name and reputation in our local market is second to none. We have 60 branches from Montauk to Manhattan, and our reputation has always been that of a strong community bank. Customers like working with strong community banks, where they have access decision-makers and get things done quickly. Four of the deposit groups that, we hired are based in Brooklyn, one is based in the five towns area of Nassau County. We're also very excited to enter Westchester County, specifically White Plains. Westchester is a market we've looked at for a long time, and we finally found the right bank to lead our efforts there. In the first quarter, we closed the first healthcare loan in our new vertical. Our healthcare team, is actively in the market at the moment and our healthcare pipeline, is robust at $150 million with a weighted average yield of 8%. We expect this vertical, to contribute to our overall loan growth, and aid in the diversification of our balance sheet. As I mentioned in our prior earnings call, this is an important component of our strategic plan. In summary, I am pleased that the investments that we put into the business in 2023, are starting to pay off. And I'm very optimistic about the hires we have just announced. Dime has been navigating the macro environment well and will simultaneously - while simultaneously playing strategic office - offense and taking advantage of the opportunities in our market. With that, I will turn it over to Avi.
Avinash Reddy: Thank you, Stu. Reported EPS was $0.41 per share in line with our expectations, the NIM bottomed in January and expanded to 2.23% in the month of March. The exit NIM would have been even higher by around three basis points, had we not carried some excess liquidity in February and March, as a precaution given the disruption caused, by a large regional bank in our footprint. We normalized our liquidity position, towards the middle to the end of March, and as such, the second quarter should not have this liquidity-related drag going forward. We are cognizant of the overall environment, and continue to manage expenses prudently. Our focus is on being as efficient as possible. Core cash operating expenses for the first quarter, excluding intangible amortization and extinguishment of debt was $51.7 million, or down 3% versus the prior quarter. Non-interest income for the first quarter was $10.5 million. This included a gain on the sale of a branch that we did a sale lease back on. We had a $5 million loan loss provision this quarter. The allowance to loans increased to 71 basis points. In light of the overall environment, our posture as it relates to the balance sheet, is to build capital methodically. This will in turn, support our clients when they need it. Our common equity Tier 1 ratio improved to 10%, which is an optically important benchmark in our mind. Our reported total capital ratio was 13.8%. Incorporating the full impact of AOCI, it would have been 13%. As you know, the focus these days is on capital with the AOCI impact. And in this regard, compared to banks between $10 million and $100 million of assets, our total capital ratio inclusive of AOCI of 13%, would put us in the top one-third of our peers. Next, I'll provide some updated thoughts on our expense guide for 2024. For those who follow Dime closely, in 2023, we were able to absorb the cost of the new deposit gathering groups into our organization, along with the addition of various corporate staff to support them, by rationalizing expenses across the organization. As part of our 2023 efforts, we significantly expanded our treasury management and back-office staff and intentionally built the bank for future expansion. As a result, we don't expect any meaningful additional staffing in corporate support areas, to support the new hires we have made in 2024. Said differently, any expense build in 2024, is primarily for revenue-generating staff that is expected to pay for itself relatively quickly. At the start of the year, we had guided to a range of $210 million to $212 million of core non-interest expense ex intangible amortization. We are now increasing the guide to a range of $214 million to $216 million. This represents the cost of all the new groups hired to-date, and is net of the benefits of additional bank-wide efficiency initiatives, we have planned for 2024. On a stand-alone gross basis, we expect the new group hires to begin generating pretax income, by the third quarter and be cumulatively breakeven, inclusive of all the start-up costs in the fourth quarter. Starting in 2025, they will contribute to growth in earnings and book value per share, versus our prior stand-alone numbers without the 2024 new hires. With respect to our positioning on lending, our strategy is to ensure we continue to support our key clients, and we continue to see growth in our business lending portfolio. Growth in the business portfolio will offset declines in multifamily and CRE, where we are still servicing existing relationships. On an aggregate basis, we expect loans year-over-year to be up in the low single-digits. With that, I'll turn the call back to Marvin, and we'll be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Steve Moss of Raymond James. Your line is now open.
Stephen Moss: Good morning.
Stuart Lubow: Hi Steve.
Stephen Moss: Hi Stu, maybe just starting with the new hires here from Signature. Just curious if you could size up the deposit potential and any specialties with the group?
Avinash Reddy: Yes, sure. Steve, I'll take that to start with. I mean the group is - as we said in our press release when we put it out, most recently, they managed several billion dollars of deposits. The group's really fit with our existing business model, very plain vanilla community commercial banking. Four of the groups are based in Brooklyn, where we have an existing branch presence. One of them is based on the Five Towns area. And then the last one is in Westchester. The groups in general are slightly bigger than the groups we hired last year. So the teams are generally, between four and six people, which is higher than what we had last year. So I think, we've laid out the groups last year at around $600 million of deposits. Our expectations for these groups ought to be higher than that, given their book of business as well as given the size of these groups. As well as some of the improvements that we made over the course of the year, in terms of our technology, our platforms, our operations. So, they're really going to start hitting the ground, running here in the first quarter onwards.
Stuart Lubow: Yes. Just in terms of some context, last year we - the groups we hired had about - we're managing about $1.1 billion in deposits. And if you recall, I said at that time, if we - we got to 50%, I thought it would be a home run, in terms of what they brought over, and they're currently at $600 million. So, we're excited about the new hires. I will say, in the first three weeks of their coming on board. We've opened up over 1,000 accounts for the groups in total and very active. We have people working weekends, opening accounts. So, we're excited by the opportunity, and we're very positive that this is going to accrue greatly, to our benefit.
Stephen Moss: Okay. Appreciate that. And so - just as we think about the deposits coming on here, I hear you guys in the press release highlighting that you expect to be core funded here. Should we expect a similar type of cost of funds, for the deposits coming on like last year's groups?
Avinash Reddy: Yes. I mean, they pretty much had a very similar book in terms of a very high percentage of DDA. Obviously, the rate environment is even more competitive at this point, given the Fed's posture. But our focus is really on core deposits low-cost deposits. And as we said, Steve, the plan over the next six to 12 months is use that to continue to pay down FHLB and broker deposits, and really drive NIM expansion through that going forward.
Stephen Moss: Okay. And then just in terms of the loan pipeline here. I hear you on the healthcare vertical, but just in aggregate, just curious, what's the size of the total pipeline and kind of how you're thinking about that?
Stuart Lubow: Right. So today, it's $1.1 billion with a weighted average yield of $814 million. In C&I and owner-occupied CRE, it's over $600 million. And as I mentioned, the healthcare is approaching, is actually today is a little higher, almost $180 million. But - and then the important thing is - and the other thing I want to mention is we have approximately $200 million - $206 million approved waiting to close that, we expect to close in the next 30 to 90 days. So, we think the next several months are going to be very busy in terms of new loan bookings. And so, the pipeline is active. We are seeing some nice new activity coming in. As we announced earlier this month, we did hire two middle market bankers from another institution, who already have some deals in the pipeline as well, and they're primarily I think C&I lenders. So, we are seeing demand pick up and activity pick up, and our pipeline is pretty robust.
Stephen Moss: Okay. I appreciate that. And maybe just one last one here. Just curious on the - NPA, it looks like maybe just on NPA in AD&C. Just curious as to the dynamics of that property? And any color you can give there?
Avinash Reddy: Yes. Yes, Steve, we actually did a reappraisal on that and very, very well secured from a collateral perspective. A couple of tenants that are going to be moving in to that. So, we don't expect any loss content at all. But just from an accounting standpoint, we conservatively moved it into NPA. We hope to get it resolved in the second quarter, or third quarter. But don't see any loss content there at all.
Stephen Moss: Okay. So maybe just to clarify, is it just kind of like a timing issue with completion and...?
Stuart Lubow: The building is complete, 100% complete. It's tenanted with a significant medical facility, they're doing - they're going to be doing their build-out, the rent starts this month. So and we've got an update of valuation, and we're pretty comfortable that this is going to be resolved in the second quarter.
Stephen Moss: Okay. Appreciate it. I'll follow-up. I'll step back. Thanks.
Avinash Reddy: Thanks Steve.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mark Fitzgibbon of Piper Sandler. Your line is now open.
Gregory Zingone: Hi guys, this is Greg Zingone stepping in for Mark at the moment. How are you?
Stuart Lubow: Hi Greg, how are you?
Gregory Zingone: Thanks. The new expense guide, you said includes the new teams hired to-date, but how many more hirings can we expect this year?
Stuart Lubow: So, we're still talking to several teams. We probably expect an announcement of at least one more team relatively soon. And we'll continue to have conversations and take advantage of opportunities. The disruption in the marketplace has never been so great here in the New York metropolitan area. But it takes time. We've interviewed a number of teams so within - that are available. And so, I don't expect at this point to double what we have per se, but there are still conversations happening and opportunities we believe will benefit us.
Gregory Zingone: So depending on how many teams you bring on board to the remainder of the year, could that $214 million to $216 million in expenses kind of trickle up a little higher?
Avinash Reddy: Yes. But Greg, I think the way to look at it is these groups are producing revenue, right? So that was my initial comment that - on a cumulative basis, we expect the group to be breakeven in 2024. So when you're thinking about your model going forward, it's really accretive starting in 2025, with no deterioration in 2024 from an EPS perspective. As I said also, we're not really adding any - we don't really need to add any additional support staff with them, because we built the company out for growth. So look, we're always judicious on expenses. We're telling you where we are right now based on who's joined the company right now. And in the future, we always look to hire productive people. So, we'll keep you updated as we go along.
Gregory Zingone: Okay. With all the people you're bringing on board and your expectation, for accelerated balance sheet growth, do you envision needing additional capital in the near future?
Avinash Reddy: Yes. Look, I mean, the plan right now is really to remix the balance sheet, with what we have. We have around $700 million of FHLB on the balance sheet. Our broker deposits, while a lot lower than a lot of our local peers is probably around $750 million plus or minus. So, we really have a pathway there to remix the balance sheet by paying off some of these items. Obviously, supporting our clients is the most important. We said multiple times on the investor CRE and multifamily side, we expect those to paydown slowly over time. So you're going to get some cash flows out of that. And we're going to grow the business portfolio. So I think, with the groups that we have right now, we're confident that we can remix the balance sheet. And our capital is very strong. Our common equity Tier 1 ratio is 10%. Like I said, our total capital ratio is 13.8% even with the impact of AOCI is 13%. So, we feel pretty good about the remixing story, and supporting our clients with our existing capital base.
Gregory Zingone: All right. Thank you guys so much.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Manuel Navas of D.A. Davidson & Co. Your line is now open
Manuel Navas: Hi, good morning. Could you guys speak a little bit on your comfort around the reserve level around 71 basis points? Should we kind of expect a methodical build from here?
Avinash Reddy: Manuel we're comfortable. Otherwise, we won't be reporting earnings where we are. So, we're comfortable.
Manuel Navas: Okay. How have repricings gone year-to-date across either multifamily, or any other CRE loan?
Avinash Reddy: Yes. We've had no issues. Loans have repriced. I will say our criticized and classified is actually down 9% on a year-to-date basis. We're probably down around $5 million to $10 million on the CRE and multifamily side and probably down around $30 million to $35 million on the owner-occupied side. So I'd say overall, its business as usual. As we've always said in the past, we don't have a lot of maturities and repricings in 2024 and 2025. And we're not really seeing anything unusual at this point.
Manuel Navas: Great. As you think about the balance sheet remixing kind of shifting over to the NIM, it seems to be reflected on a monthly basis, can that kind of improved pace continue near term in general?
Avinash Reddy: Yes. I think the way to think about the NIM a little bit is, the month of February and March was probably the first months in the last 15 to 16 months that, the deposit costs actually declined. So the spot deposit cost at the end of March was $2.68. The cost of deposits for the full quarter was $2.70. So, we did see some competition in December and January, and the January NIM was really a bottom in our mind. So on a going-forward basis, especially with these new groups coming on, you should see stability in the cost of deposits. So then, if it's going to be a function of how quickly originations come on board. And, if you go back to the month of September, the weighted average rate on the loan portfolio was around 5.20% in December that went up to 5.29%. That was based on around $200 million of originations for Q4. Q1 was a little bit slower in terms of originations, and that's just seasonal where you closed a lot of loans at the end of the year. But because we did half the originations, the weighted average rate on the loans only increased by five basis points. So, if you go back to Steve's point about the pipeline, if you're going to assume around $200 million of originations every quarter, that should lead to an increase in the weighted average rate, by around eight to 10 basis points on the loan side. So on an average basis, you're probably going to get a four to five basis point benefit on the margin there. So I think overall, we're thinking about the NIM with an upward bias going forward. And obviously, the cost of deposits is the biggest piece of that. And we do believe that, that stabilizes to a large extent.
Manuel Navas: That's great. I really appreciate the color. Thank you guys.
Operator: Thank you. One moment for our next question. [Operator Instructions] Our next question comes from the line of Chris O'Connell of KBW. Your line is now open.
Christopher O'Connell: Hi, good morning.
Stuart Lubow: Hi, Chris.
Avinash Reddy: Hi, Chris.
Christopher O'Connell: Just on the deposit. New deposit team adds and kind of that breakeven point that you're targeting to hit in Q4. What's the deposit level for them to hit breakeven?
Avinash Reddy: Yes. So, on an average basis, Chris, they probably should get to around, call it, around $400 million of deposits, plus or minus, maybe between $350 million and $400 million, by that point for Q4, basically. So that - when you look at that run rate, then it starts becoming breakeven to positive at that point.
Christopher O'Connell: Got it. And as far as the balance sheet movements in the quarter, on an end-of-period basis, the borrowings were a lot lower than on the average basis. I mean, were those paid off pretty late in the quarter? And do you have any sense, of how that's going to impact the margin going into 2Q? I mean, was it included in the March 2023 margin? Or is there a further benefit of that coming into the second quarter?
Avinash Reddy: Yes. A little bit further benefit, Chris. So if you look at - I mean, the easiest way to look at it is if you look at our short-term investments that we had, it was around $300 million more this quarter than, we had last quarter. So for the full quarter, the impact was more. But in my prepared remarks, what I tried to say was in the month of March, we paid down the borrowings starting on March 1, but we've probably done by March 20. So there's probably around a three basis point drag, even for the month of March. So that $223 million margin for March was probably more like $225 million to $226 million, as an exit run rate going forward into the second quarter. And that doesn't include the benefits of any further paydowns that we'll have of borrowings and broker deposits going forward once deposits start coming in.
Christopher O'Connell: Great. And I know you guys don't give short-term margin guidance. But based on that commentary, is it kind of safe to assume that you trend back up, to close to the levels that you were at into Q4, of '23, and kind of migrate consistently upward for there, as kind of overall balance sheet repricing occurs going forward?
Avinash Reddy: Yes. I think overall, the way we describe it is an upward bias. I think last quarter, our guidance was the margin will be within a few basis points. And I think without this liquidity build, it would have been within a few basis points and obviously it's a little bit down. But I think it's fair to say upward bias, the individual factors are stabilization in the deposit cost, which helps, not having a liquidity drag, which helps. And then there's two points more originations on the loan side, which also help - and then as you see more paydowns. And in the third quarter, we have some treasuries maturing. We probably have around $70 million, $75 million, I believe, in the third quarter. Right now, the yield on those strategies are like 1%. So that's going to help as well. So you're going to see a little bit of that into Q3, and into Q4. So I think, I'll leave it at upward bias, and it will be a function of closings on the loans side.
Christopher O'Connell: Great. And there were some changes announced impacting the overall New York multifamily space, with the budgeting being passed in the past week or so. Any thoughts or color as to how you guys think that will impact the market and if it will be significant at all? And just any general, I guess, thoughts on the state of the New York multifamily market, and how you expect to manage your exposure going forward?
Stuart Lubow: Yes. So I mean it's still a little early, to ascertain what the ultimate impact is going to be. They still have to work out the details. And it's certainly better than what the advocates wanted. It's not necessarily where all the landlords want it to be. So I mean, I still think that has to work through. I think - on the margin - it could have been worse and it's probably a net positive overall. But it's still got to work through the process, and we have to see how it actually affects the market.
Christopher O'Connell: Got it. And any sense to Stu were there any rent-regulated multifamily maturities in the first quarter? And if there was where the new debt service coverage ratios, were that they repriced?
Avinash Reddy: Yes, I don't have that off the top of my head, Chris here, but we had a very small amount in the first quarter, probably don't know $30 million plus or minus of multifamilies and most of them took the option basically to reprice. And we can follow-up after the call with...
Stuart Lubow: Yes. I mean they're all paying, they're current. And it was a relatively small - handful of loans that repriced during the period, and they just repriced. And the way it works in our world is, if you take the repricing, you have to pay a fee. So they paid the fee and they're repricing and they're current.
Christopher O'Connell: Great. And the near-term outlook, I know there's zero multifamily on NPAs and zero any loans on 90 days past due. As you guys have like look through the maturities scheduled, which are fairly light over the next couple of quarters, is there anything that concerns you in terms of credit quality after coverage after repricing on the rent-regulated book?
Avinash Reddy: No, not especially, like I said, we monitor the criticized and classified very closely. The multifamily criticized classified was, I think, down $4 million or $5 million. So at this point, nothing stands out.
Christopher O'Connell: Great. Thanks for taking my question.
Operator: Thank you. I'm showing no further questions at this time. I'd now like to turn it back to Stuart Lubow for closing remarks.
Stuart Lubow: Thank you, Marvin. Once again, I'd like to thank all of our team members, for their support during our significant growth initiatives. Our philosophy of a single point of contact, and customer-centric approach to our customers, remains first and foremost. Both new and old customers are the mainstay of our organization, and our continued success will accrue not only to the benefit of our customers, but to the franchise value as well. We look forward to speaking with you all, at the second quarter. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.